Operator: I would like to welcome everyone to the Columbia Sportswear report third quarter 2008 conference call. (Operator Instructions) I will now turn the call over to Ron Palm, Director of Investor Relations.
Ron Palm: Thanks for joining us on today's call. Earlier this afternoon we issued an earnings release and financial schedules covering the results of our third quarter, upward revised guidance for 2008 earnings per share and spring 2009 backlog. With me today to discuss that announcement and answer your questions are Columbia's Chairman Gertrude Boyle, President and CEO Tim Boyle, Executive Vice President and Chief Operating Officer and acting CFO Bryan Timm and General Council Peter Bragdon. Before we begin, our Chairman Gertrude Boyle has an important reminder.
Gertrude Boyle : I'd like to remind everyone that this conference call will contain forward-looking statements regarding Columbia's business opportunities and anticipated results of our operations. Please bear in mind that forward-looking information is subject to many risks and uncertainties and actual results may differ materially from what is projected. Many of the risks and uncertainties are described in Columbia's quarterly report on Form 10-K for the year ending December 21, 2007 and subsequent filing with the SEC. Forward-looking statements in the conference call are based on our current expectations and beliefs and we do not undertake any duty to update any of the forward-looking statements after the date of this conference call to conform the forward-looking statement to actual results or to change our expectations.
Ron Palm: Thank you Gertrude. I'll hand the call over to Tim.
Timothy Boyle: Thank you for joining us this afternoon. Before reviewing the results of our third quarter, I want to spend the first few minutes of my remarks reminding listeners about our commitment to investing in several long term strategies. In these volatile times, it is easy for investors to lose sight of the company's long term direction and to get lost in the near term chaos of the global financial markets and the weak retail environment. While these factors have certainly presented us with a challenging backdrop in which to operate for the moment, we have always based our company around a set of key principles that have served us well through good times and challenging times. These principles are; to focus on the outdoor market, to make authentic, innovative products that will help active outdoor enthusiasts enjoy their outdoor lifestyles more comfortably for longer periods, to design products from a distinctly American point of view and to offer products that consumer recognize as representing great value. During economic periods like the one we are currently experiencing, staying true to those values is even more important. One year ago we communicated our plans to begin investing in two long term strategies in 2008. First, expanding our direct to consumer business by building a network of branded and outlet retail stores, and second, increasing our investment in marketing and advertising. The goals of these investments are to elevate our brands to increase consumer and retailer awareness of the full depth and breadth of our offerings and to build stronger emotional connections with consumers over time. Our balance sheet has provides us with the confidence and flexibility to move forward on those strategies without having to rely on the troubled credit markets for funding or letting the near term turmoil distract our focus. In November we will open four new first line branded retail stores consisting of Columbia branded stores at the Portland International Airport and at the Mall of America in Minneapolis, and a Columbia branded store with an adjacent Mountain Hardware branded store in the heart of Seattle's downtown retail district and Third and Pine. We've also announced plans to open a Chicago branded store next fall on Michigan Avenue in Chicago and are actively negotiating on what we believe are outstanding locations in several other major metropolitan cities in the U.S., Canada and Europe where we expect to open another 10 to 15 branded stores over the next several years. On the marketing front, we launched Columbia's greater outdoors TV and print campaign in early October inviting and inspiring people of all abilities to enjoy the outdoors on their own terms at their own level of intensity and across the wide variety of environments that the outdoor offers. This campaign represents the first step towards our goal of engaging consumers in an ongoing dialogue about what it means to be an outdoor pioneer and how Columbia's portfolio of brands and innovative products enable them to continue to find new ways to experience the outdoors. We are in the early investment phase of these multi-year strategies and we believe the next 12 months will require increased discipline on many fronts. We are positioning the company for profitable, sustainable growth when the economy begins to eventually recover. Now let's take a closer look at our Q3 results and outlook for the near future. Our third quarter net sales are typically dominated by the sale of our fall product line into wholesale accounts. For fall '08, our seasonal product and marketing initiatives are centered around waterproof, breathable, Omni-Tech fabrics across our outerwear/footwear lines and tech like cushioning technology in our winter footwear line. The 4% decline in our third quarter net sales compared to Q3 2007 was in line with our previous guidance and was not affected materially by cost exchange rates. Going down into the third quarter net sales on a regional basis compared with Q3 '07, U.S. sales declined 5% to $271.3 million as a higher digit percentage decline in wholesale sales was partially offset by a doubling of retail sales thanks primarily to the opening of 11 new outlet stores through September. We remain on pace to open a total of 15 new U.S. outlets this year which will bring us to 28 outlets in operations for the holiday. EMEA sales declined 10% to $78.2 million including a 6% benefit from foreign currency exchange rates. Sales through our EMEA direct subsidiaries declined high single digits on a percentage basis. We've talked at length previously about the management of our product assortment and marketing in Europe direct countries and the resulting weak sale through that we've experienced through the past several seasons. We expect fall away in spring '09 to continue to be challenging for us in those markets. However, we believe our fall '09 contains innovations and designs that will help us re-establish our proper brand position and set a firm foundation from which we will expect to begin growing our EMEA direct business in 2010. In our EMEA distributor business as we discussed last quarter, a greater proportion of our fall shipments to those distributors occurred during the second quarter of '08 versus the third quarter of '07. That timing shift resulted in low teen percentage decline in third quarter sales to EMEA distributors. Combining Q2 and Q3 of '08, net sales to EMEA distributors were up over 10% over the second and third quarters of '07. Net sales in Canada declined 2% including a 1% currency benefit. Net sales in a LAAP region increased by 10% fueled by double digit percentage growth in our Japan and Korea subsidiaries. Exchange rate differences were immaterial to the comparison. Looking at third quarter net sales by category compared with Q3 '07, we experienced the largest decline in both dollars and on a percentage basis, declining $7.8 million or 11%. Most of that decline was due to a combination of the shift in timing of the shipments to EMEA distributors and lower initial orders in our EMEA direct markets. Outerwear net sales declined $7.2 million or 3% in the third quarter with lower Columbia and Pacific Trail brand sales partially offset by an increase at Mountain Hardware. Sportswear net sales decline $4.4 million or 3% as lower Columbia brand sales were also partially offset by gains at Mountain Hardware. From a plan perspective, a 4% in third quarter net sales can be primarily isolated to the Columbia brand which was down $23 million or 5% partially offset by a $5.7 million or 19% increase at Mountain Hardware. Mountain Hardware has demonstrated strong consistent growth driven by increased penetration in a strategic U.S. specialty channel where its becoming increasingly recognized by retailers and consumers as the premier top of Mountain brand. I'd like to focus the rest of my comments on our spring '09 backlog which totals $370.9 million, 11% lower than our spring '08 backlog. As was the case in the second quarter, most of our largest retail partners have reported negative sales comps through the third quarter and have stated their intention to continue managing their consolidated inventories lower over the course of '08 and into '09. We are also managing our wholesale inventories more conservatively and our increasing base of outlook stores provides us with a more profitable and brand enhancing alternative to liquidate end of season products as necessary. You will recall spring of '08 was the first season that we focused on our Omni-Shade sun protective apparel as our primary seasonal marketing initiative. While cool spring weather and a weakening retail environment ultimately resulted in an unusually high cancellations near the end of spring '08 season, U.S. retailers told us that Omni-Shade products were among their best performers in the sportswear category. We increased our Omni-Shade offering for spring of '09 and are encouraged that Omni-Shade booking are up 8% in the U.S. and represent 60% of spring '09 apparel bookings versus 48% of spring '08 bookings. This tells us that we have established Omni-Shade in the U.S. market as a group of meaningful innovative technologies that our retail partners are placing higher reliance upon. That's a positive outcome in any economy and we intend to continue building on that with better execution across all marketing platforms designed to create consumer demand and generate improved sales turns and margins for our retail partners. I'll turn it over to Bryan now to cover the rest of the income statement and balance sheet in more detail
Bryan Timm: Tim covered the highlights on our top line so I'll start with gross margins and quickly work down the rest of the income statement, balance sheet and cash flow. Third quarter 2008 gross margins increased 150 basis points compared to last years third quarter to 44.7% primarily due to improved sportswear and footwear product margins, favorable point currency hedge rates and a lower volume of close out product sales at better comparative margins. SG&A expenses increased over last years third quarter by $8.6 million or 290 basis points to $120.8 million or 26.7% of sales. This SG&A increase was in line with our previously communicated plans to increase marketing investments to drive consumer demand for our brands and to fund the start up costs of our new retail stores. We applied a cash rate of 31.3% in the third quarter due in part to the recognition of a one time tax benefit. This compares to a 33.9% cash rate from last years third quarter. We now expect our full year 2008 tax rate to approximate 32%. Net income for the third quarter was $58.3 million or $1.69 per diluted share versus net income of $62.6 million or $1.72 per diluted share in the prior year. Given the macro economic environment we are pleased with these better than planned results which were aided primarily by better gross margins, reduced share count, diligent expense control and a lower tax rate. Our balance sheet continues to be very strong, free of any long term debt and with cash and short term investments of $145.3 million compared to $115.8 million one year ago, almost all in highly liquid cash and cash equivalents. As Tim already noted, our balance sheet gives us the confidence and flexibility to continue investing in our strategic initiatives during this economic cycle to position the company for sustainable, profitable long term growth. We delivered on our plan to reduce inventory levels on a year over year basis, ending the quarter down 6% at $301.4 million versus $320.6 million last year. We continue to reduce our inventory levels and based on our current sales expectation and production plans, expect to finish 2008 with lower inventory compared to December 31, 2007. In addition to lower inventories our cash flow also benefited from a 7% reduction in consolidated accounts receivable to $366.2 million at September 30. Capital expenditures were approximately $12 million during the third quarter of 2008 and $40.4 million through September 30, primarily reflecting our U.S. retail expansion. During the third quarter and in the first few days of October we re-purchased approximately 1,014 shares in an aggregate price of $39.3 million effectively completing the Board's previous aggregate share re-purchase authorization of $400 million. At last weeks meeting, the Board authorized to re-purchase up to an additional $100 million in Columbia's common stock. The Board also approved a fourth quarter dividend of $0.16 per share. Turning now to financial guidance, please keep in mind that this information is forward-looking in nature and is therefore subject to certain risk factors. Visibility is currently hindered by the unpredictability of the global economy, its impact on consumer purchasing behavior and retailer's behavior related to order cancellations and season re-orders. We believe that we that we have appropriately factored in the fourth quarter guidance our historical experiences, current retail expectations, incremental sales from our new retail stores and the estimated effect of foreign currency exchange rate differences. Historically our results in the fourth quarter are more variable than the third quarter because they rely more heavily on fall weather patterns and the pace of retail sale through to stimulate customer re-orders. In this challenging economic environment we are also mindful of our reliance on the overall financial health of our customers and their ability to continue to access credit markets to fund their purchases and their day to day operations. With that as a backdrop, we expect fourth quarter net sales to decrease approximately 6% to 10% compared with last years fourth quarter and we expect fourth quarter diluted earnings per share of approximately $0.60 to $0.70 compared to $1.26 in last years fourth quarter which included a tax benefit of $0.14 per diluted share. Included in our fourth quarter outlook is gross margin contraction of approximately 120 basis points to 41%. We expect SG&A expansion of approximately 500 basis points to 32.6% driven primarily by the previously discussed marketing investments and our new retail store openings. For the full year 2008 we now expect revenues to decline approximately 3% to 4% from fiscal year 2007. In addition we expect full year 2008 consolidated gross margins to remain flat with 2007 levels at 42.8%. As Tim noted, we remain committed in investing and expanding our retail platform and incremental marketing to drive consumer demand for our brands. We expect full year 2008 SG&A expenses as a percentage of consolidated net sales to increase 430 basis points compared to 2007 levels to 32.7% of sales. Based on the above projections we expect to generate operating margins of approximately 10.5% and diluted earnings per share of approximately $2.80 to $2.90 for the full year 2008 compared with our previous guidance of $2.60 to $2.70 per share. We are currently planning approximately $45 million to $50 million in capital spending during 2008 with approximately $30 million to $35 million of that related to our retail expansion and $15 million related to maintenance CapEx and to a lesser extent, distribution capacity projects. Turning to our outlook for the first quarter 2009; while we are disappointed with our backlog it's certainly an indicator of our wholesale revenue decline as we sell in spring products into the first quarter. In addition, the affects of foreign currency exchange rates may also amplify our revenue decline if the U.S. dollar continues to strengthen compared to our foreign currencies in our direct markets. We expect our retail revenues to partially offset some of this wholesale decline. We expect first quarter 2009 gross margins to benefit slightly from an increase mix of higher margin sales from the company's own retail stores and favorable hedge currency rates. The estimated net effect of our spending plans for the first quarter and full year 2009 SG&A levels will be determined during the fourth quarter as we gain more visibility into the marketplace to complete the planning and budgeting process for next year. We expect to discuss these plans in greater detail in January 2009 when we will report the results of the fourth quarter and full year 2008. On that, I'll hand the call back to Tim for his closing comments.
Timothy Boyle: Before we turn the call over for your questions, I'd like to summarize a few key take away's. The U.S. retail environment is more difficult and unpredictable than we have experienced. Key European and Asia markets are showing similar stresses. We feel confident about the investments we are making in new long term growth platforms and the financial flexibility provided by our fortress balance sheet to make these investments during an otherwise difficult economic period. We are in the process of transforming our company from one that historically concentrated primarily on the sell end to retailers into a consumer focused, marketing driven company with strong brands that consistently generate superior consumer demand and profitable retail sell through. Making that transformation has implications across our entire company. The changes in how we approach the creation of each season's product line, the manner in which we seek out and incorporate innovative technologies and construction in our products, the design esthetic that captures and communicates our technologies, fit and styling, in store fixtures and displays that carry those messages to the retail floor and the marketing communications that convey our brand and seasonal initiatives to the media and other promotional events. The 15 to 20 first line retail stores we plan to open in key metro markets in the U.S., Canada and Europe over the next three to five years will provide stages on which to showcase the breadth of our innovative products and we believe inspire our retail partners to enhance their presentation of our brands as well. We also plan to add another 15 outlet stores next year to more profitably liquidate end of season products. While the current economic environment makes it hard for anyone outside our company to discern whether or not our efforts are being successful, we are confident these efforts will eventually benefit our business worldwide. In the meantime, we will continue to take disciplined action to manage our expenses in order to maintain acceptable operating profitability and a fortress balance sheet. Operator, can you help us with questions?
Operator: (Operator Instructions) Your first question comes from Reed Anderson – D.A. Davidson.
Reed Anderson – D.A. Davidson: On gross margins, I wonder if you could give a little more detail within footwear and sportswear why they were off like that, and secondly just curious why we don't see any carry through into the fourth quarter in margins would be down.
Bryan Timm: With respect to the Q3, we had footwear and sportswear drove our gross margins especially from a raw product standpoint. A lot of our lines are priced early on in the year and from a sourcing perspective I don't think we saw a lot of cost increases necessarily on our fall 2008 goods, and we just experienced some very good selling margins comparative to the previous year. CapEx also had a significant impact on our gross margin in Q3. With respect to why those good factors don't carry on into Q4, we're just stepping back in this environment and thinking that quarter four could get a little promotional with respect to the overall selling through the remaining parts of fall 2008 goods that we've got.
Reed Anderson – D.A. Davidson: Tim visited a lot of stores. You've seen a lot of new fixturing or signage, you've augmented a lot of retailers, sporting goods retailers. Any sense of if that's helped or is this just a test? Are we going to see more of this?
Timothy Boyle: We've actually made a specific effort to change some of the colorations in our point of purchase material to stand out more. In the past we always had the outdoor flavor throughout our communications including the color waves of the various marketing materials we had in store, and I think our brighter more vibrant point of purchase information is being seen more and its having a significant impact on the sell through, which we believe is stronger this season than it has been in prior seasons.
Reed Anderson – D.A. Davidson: That was pretty much pushed out just in the last quarter, is that right?
Timothy Boyle: The signage packages for spring '09 were put in place in first quarter and the fall '09 was actually, July and August we started placing those in place.
Operator: Your next question comes from Kate McShane – Citigroup.
Kate McShane – Citigroup: Could you remind us how many full price and how many outlet stores you'll have open in the first quarter of '09?
Bryan Timm: I would think that by the this year, we'll have 13 outlets open at the end of last year and we will add about 15 to that plan for this year which will put us about 28 exiting this year. Getting into quarter one I don't know specifically exactly how many of those are going to come on line in 2009. I think there's certainly some that are in process at this point in time that will go over year end so I would hesitate. But I think our plan for at least next year to reproduce that 15 number as we see it right now.
Kate McShane – Citigroup: Going into first quarter you'll still have the four full price stores?
Bryan Timm: We'll exit this year with close to six and that will depend on certain openings. We'll have the Mountain Hardware store here in Portland. We'll have the Portland Airport store, Seattle store, a Minneapolis as well as the Chicago store at retail.
Kate McShane – Citigroup: The initiative giving more direct to consumer, are there any plans to do e-commerce?
Timothy Boyle: We're in the process of establishing a protocol for e-commerce and would expect that we would be able to be selling direct to consumers in that way around the middle of 2009.
Kate McShane – Citigroup: Can you quantify how much of that gross margin in the quarter was from foreign exchange?
Bryan Timm: Roughly half. Our gross margin improved 150 basis points in Q3 and I'd equate close to 75 of that due to foreign currency hedge rates in Europe, Canada and other markets.
Kate McShane – Citigroup: Can you update us on the CFO search?
Timothy Boyle: We have several solid candidates. We're down to the last few where we'll be deciding here over the next quick period of time and certainly expect to have an announcement prior to year end.
Operator: Your next question comes from Robert Drbul – Barclays Capital.
Robert Drbul – Barclays Capital: When you look at the full year '08, the marketing spend as a percentage of sales, can you give us an idea of where that's going to shake out, and as you look to that first quarter in the spring, maybe the trend as you consider it from that perspective year over year? The second question is, in the spring older book that you have now, in terms of price increases, do you think that any of the price increase at that level first and then is that a big discussion point as you took orders from many of your retail partners?
Timothy Boyle: As it relates to the full year advertising spend for '08, I think we're going to end up in the 5.5% range, and I would expect that in the first quarter of '09 would also be carried through in that area. As it relates to price increases and its impact on the business for '09, our price increases were moderate in '09 spring, but we did have some challenging categories mostly in the cotton goods area where we suffered some losses just due to price increases. I would say in the areas of strength of the company, Omni-Shade and the higher average retail prices actually were stronger.
Operator: Your next question comes from Mitch Kummetz – Robert W. Baird.
Mitch Kummetz – Robert W. Baird: As far as FX, when is that going to become a negative on gross margin in FY'09 the way you are hedged out?
Bryan Timm: At least in the spring 2009 we would have been able to capture close to the same kind of hedge rate that we had in spring '09, so I wouldn't expect a great deal of FX. It would be more tail wind than a head wind for spring. As it relates to fall, as you know we're going to market in the next week here in the U.S. and we'll follow that up with sales meetings and kick offs for some of the international markets later in November. We're just now, at least in some regions starting to protect from a currency hedge rate perspective. So there may be a little bit of weakness as we look into the back half of next year depending on whether the dollar continues to strengthen as it has over the course of the last 25 days.
Mitch Kummetz – Robert W. Baird: As far as retail comps, can you say anything about your stores, how it played out in Q3 and what your outlook is for Q4 and Q1?
Timothy Boyle: Since we're not a retail company, our primary focus will continue to be a wholesale company. That's where the bulk of the revenues will be generated. We're not really going to report comps or sales. We've been pleased with the results, but we're not going to be releasing that variable at this time.
Mitch Kummetz – Robert W. Baird: As far as production costs, what are you expecting for fall of '09 and do you have anymore visibility on passing those increases on to the consumer if there are any?
Timothy Boyle: The expectation is that there may be some price increases. I would certainly say that the global demand for apparel and footwear products look to be reduced and so we've yet to really understand the impacts of how that reduced demand is going to play out throughout the balance of the year. But our expectation is that our gross margin lines will be reasonably intact as we go forward in price for '09.
Operator: Your next question comes from John Shanley – Susquehanna Financial.
John Shanley – Susquehanna Financial: Can you tell us the number of full line stores that are planned for '09?
Timothy Boyle: We've got approximately 10 additions in '09. That would assume that we could button up our lease negotiations in a timely way to put ourselves in a good position for openings. So that's a fluid number, but I would think it would be in that range globally.
John Shanley – Susquehanna Financial: How many of those full line and the 15 outlet stores have actually had leases assigned?
Timothy Boyle: We've announced everything where we've signed a lease so that would Chicago and Minneapolis. Seattle was opened in '09.
John Shanley – Susquehanna Financial: Is there any possibility that if business conditions continue to be difficult at retail that you may be able to pull back on some of the in store openings or are you pretty much committed to opening as many stores as you've indicated?
Timothy Boyle: We will make sure we monitor this every day, but our balance sheet is so strong it puts us in a position where we can really take advantage of weakness in the retail sector and make some great deals with landlords based on our strength. We'll make sure we're doing the right thing, but we think we're in a terrific position to open some high volume first line stores that will be very creative to the business and help our marketing.
John Shanley – Susquehanna Financial: Can you give us an indication of what you've hedged the dollar against the Euro? Are you $1.30 or in that range?
Bryan Timm: For the spring, I think we're pretty much covered. I say that because I don't think at any one time we're 100% hedged. As it relates to the back half of '09, we do have some forward contracts taken out against the Euro for our production but certainly not completely covered at this time. There's certainly other markets where their currency has moved very quickly against the U.S. dollar in short order, namely the Canadian market and the Canadian dollar. A lot of the going to market will happen sometime in November and therefore we're not 100% buttoned up at this point.
John Shanley – Susquehanna Financial: Is it realistic to expect that you'll get the same 175 basis point in gross margin due to FX in '09 as you did so far this year?
Bryan Timm: Not at the present time. Not seeing the rates move where they have the last 25 days, I wouldn't say that you should expect the same kind of a tail wind that we experienced in '09 for '09 as it relates to FX.
John Shanley – Susquehanna Financial: Do you have any exposure to bad debt from some of the bankruptcy filings of Mervyn's and folks like that?
Bryan Timm: In two of those accounts, we did business with both, but the number are certainly not material and at least as it relates to both of those accounts I would say the exposure is somewhere close to about $500,000.
John Shanley – Susquehanna Financial: Any other accounts that are a similar dollar amount?
Bryan Timm: We have customers that we're watching and trying to make sure that we have appropriate and conservative credit extension at the current time. It's obviously a very difficult market out there but we have a few accounts that we're watching very closely, but no accounts that we know of at this time that have filed Chapter 11.
Operator: There are no further questions at this time.
Timothy Boyle: I want to thank you all for listening in and we'll be looking forward to talking to you in January when we report our fourth quarter results.